Operator: Hello, and welcome to the Excelerate Energy Third Quarter 2025 Earnings Conference Call. My name is Alex, and I'll be coordinating today's call. [Operator Instructions] I'll now hand it over to Craig Hicks, Vice President of Investor Relations. Please go ahead.
Craig Hicks: Good morning, and thank you for joining Excelerate Energy's third quarter 2025 earnings call. Joining me today are Steven Kobos, President and CEO; Dana Armstrong, Chief Financial Officer; and Oliver Simpson, Chief Commercial Officer. Our third quarter earnings press release and presentation were published yesterday afternoon and are available on our website at ir.excelerateenergy.com. Before we begin, please note that today's discussion will include forward-looking statements, which involve risks and uncertainties that may cause actual results to differ materially. We undertake no obligation to update these statements. We'll also reference certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP measures can be found at the end of the presentation. With that, it is my pleasure to pass the call over to Steven Kobos.
Steven Kobos: Thanks, Craig, and good morning, everyone. We appreciate you joining us to discuss our third quarter 2025 results. But before we turn to the business update, I want to begin by acknowledging the impact of Hurricane Melissa on Jamaica. Our thoughts are with those affected, especially our employees, their families and the communities we serve. We've been in close contact with our teams throughout, and we're grateful for their safety and for the care they've shown to one another and to the communities around them. Also, I want to note for you all that David Liner, our Chief Operating Officer, who's usually with us on these earnings calls, is currently on the ground in Jamaica, helping to coordinate our hurricane response and relief efforts. In the days leading up to landfall, our crisis management team activated contingency plans and conducted drills to ensure personal safety and operational resilience. On October 23, following direction from the harbor master, our FSRU at Old Harbour and our other mobile marina assets safely relocated offshore. Our teams then moved to ensure that all our critical systems and onshore operations were prepared and secured ahead of the storm. When Hurricane Melissa made landfall on the west side of the island, Montego Bay experienced severe conditions, but our infrastructure held and our teams responded quickly. The FSRU returned to port in Old Harbour on October 30th and regasification operations resumed on October 31st. The Clarendon CHP plant also restarted operations that same day. As of November 1st, the Montego Bay terminal was fully operational. Deliveries to small-scale customers have resumed. These deliveries were made possible through coordinated efforts to clear access routes and restore supply chains. I want to take a moment to thank our operations team in Jamaica. Their response was not only fast and effective, but it was also deeply responsible. They did what needed to be done, and they did it with care, discipline and quiet resolve. This isn't just a business when a sovereign and its people count on you for basic needs like reliable energy. That kind of trust carries weight. It's a relationship built on consistency, accountability and respect, and it's one we take seriously. That's why our response goes beyond restoring operations. We've mobilized relief funding, freshwater and essential supplies to support recovery efforts. We remain committed to standing with Jamaica, not just through this recovery, but in the long-term work of strengthening energy infrastructure across the region. We are proud to stand with the impacted communities as they begin to rebuild. I want to reassure our stakeholders that we have comprehensive insurance coverage for adverse weather events like this. With that insurance coverage, combined with our take-or-pay business model, we are confident that there will be limited financial impacts resulting from Hurricane Melissa. Now let's turn to the third quarter. Excelerate delivered another strong quarter, underscoring the strength of our infrastructure platform. I'll begin with a brief overview of our third quarter highlights and the current macro environment. Then I'll provide updates on 2 important developments, those being our recently executed terminal contract in Iraq and the continued growth of our operations in Jamaica. After that, I'll turn the call over to Dana, and she'll walk through the financials in more detail. Excelerate delivered record quarterly EBITDA of $129 million. This underscores the durability and diversification of our business model. With approximately 90% of our future contracted cash flows under take-or-pay agreements, portfolio of weighted average investment-grade counterparties and minimal commodity exposure, we continue to deliver predictable cash flows through market cycles. On the operational front, we've maintained high levels of asset reliability across our portfolio. Our global footprint and disciplined execution are enabling stable returns while advancing strategic growth opportunities that position us for long-term value creation. Let's turn for a moment to the LNG macro environment. The global LNG market is entering a new phase of accelerated growth. After a modest supply expansion over the past 3 years, approximately 200 million tonnes of incremental LNG supply is expected to come online between now and the end of the decade. This growth is expected to drive global LNG supply from approximately 430 million tonnes per annum in '25 to greater than 600 MTPA by 2030. As the ratio of global regas capacity to supply tightens, developing new regas infrastructure will become increasingly important. This imbalance is not theoretical. It's structural. Many emerging markets lack financing, permitting frameworks or time to build large-scale onshore terminals. Even in developed markets, infrastructure timelines often lag commercial opportunities. Excelerate Energy is purpose-built to solve this problem. We offer a range of scalable regasification solutions from FSRUs to converted LNG carriers to integrated downstream infrastructure, these solutions can be deployed rapidly, adapt to local constraints and unlock demand for gas was previously unavailable or uneconomical. More affordable LNG pricing is expected to drive incremental demand for natural gas, particularly in price-sensitive and infrastructure constrained markets. That demand will require more regasification infrastructure, not less. As we look ahead, Excelerate is preparing to meet the demand of the next wave of LNG growth. With our newest vessel, Hull 3407 now committed to the Iraq project, we are advancing plans to convert our existing LNG carrier, the Shenandoah into a floating storage and regasification unit. This conversion will expand our fleet's flexibility and allow us to respond more quickly to emerging opportunities. Engineering work is already underway, and we've initiated procurement of long lead items to compress the construction timeline and accelerate deployment. These steps reflect our continued focus on scalable, capital-efficient infrastructure that can be delivered where and when it's needed most. The recent announcement regarding Iraq is a powerful example of how Excelerate's integrated model creates differentiated value in markets where energy infrastructure is urgently needed. In October, we executed a definitive agreement with a subsidiary of Iraq's Ministry of Electricity to develop the country's first LNG import terminal at the Port of Khor Al Zubair. This agreement builds on extensive engagement with the government of Iraq over the past several years. We've worked closely with key stakeholders to shape a reliable solution that addresses the country's urgent energy needs and supports its long-term infrastructure goals. Iraq continues to face chronic power shortages and unreliable gas supply. These challenges have led to persistent load shedding and heavy reliance on imported gas from neighboring countries. Our integrated solution offers a fast-track path to energy security. Excelerate will deliver a turnkey package that includes an FSRU, fixed terminal assets, LNG supply and operational support. This integrated structure is strategically significant. Unlike a traditional FSRU charter where Excelerate provides regasification capacity alone, an integrated deal allows us to capture a broader portion of the value chain. This approach also creates multiple revenue streams and a more durable commercial framework. Iraq has already made meaningful progress on enabling infrastructure. A 40-kilometer pipeline connecting the jetty to the Tayan Pipeline Network is largely complete. Under the agreement, we will construct and operate the floating LNG import terminal. It's designed to accommodate up to 500 million standard cubic feet per day of regasification capacity. We also plan to repurpose an existing jetty at Khor Al Zubair port that has been deemed structurally suitable for FSRU operations. The project includes a 5-year agreement for regasification services and LNG supply. It's got extension options and a minimum contracted offtake of 250 million standard cubic feet a day. Let's call that equivalent to about 200 million tonnes per annum of LNG. We will deploy 3407, our newest FSRU and deliver the topside equipment and berth modifications required to enable operations of the jetty. So why is Hull 3407 a strategic fit for the project? Well, in addition to its high send out capacity, Hull 3407 offers best-in-class boil-off gas management, delivering strong operational efficiency and reliability. Its advanced design and flexible deployment make it well suited to meet Iraq's large-scale and urgent energy needs. The total project investment is expected to be approximately $450 million, inclusive of the cost of the FSRU. With the definitive agreement now in place, we're advancing project execution while continuing to derisk the opportunity through a take-or-pay contract structure, credit support, political risk insurance and strong support from the U.S. government. Political risk insurance provides added assurance for long-term stability, while U.S. government support reinforces confidence in the project and strengthens its strategic importance in the region. Together, these measures enhance certainty and create a strong foundation for successful execution. Now let's turn back to Jamaica. In the third quarter, the reliability of our Jamaica assets remained exceptional. They exceeded 99.8% across the platform. Integration continues to progress extremely well. We have continued to optimize our LNG and power platform by selling incremental gas volumes to existing customers, progressing commercial agreements with new small-scale customers on the island and throughout the Caribbean and improving the efficiency of our integrated operations. Jamaica also serves as a proof of concept for the scalable solutions we aim to replicate across our global footprint. Now more than ever, we are committed to investing in the critical infrastructure needed to help rebuild and strengthen Jamaica's energy network in the wake of Hurricane Melissa. We will work collaboratively with the government and our customers on the island to enhance the system's durability and ensure long-term reliability. To sum it up, Excelerate Energy is executing with discipline and delivering results. We're solving real infrastructure challenges in real markets, and we're doing it at scale. As we look ahead, we see significant opportunities to extend our platform into new regions and deepen our presence in existing ones. Our ability to deploy reliable LNG regasification infrastructure when and where it's needed most, position us well to meet rising demand and unlock new growth. Thank you for your continued support and confidence in Excelerate Energy. With that, I will turn the call over to Dana.
Dana Armstrong: Thanks, Steven, and good morning, everyone. As stated by Steven, we had a great third quarter. We reported adjusted net income of $57 million, which is a sequential increase of $10 million or up 22% as compared to the second quarter of this year. Adjusted EBITDA for the third quarter was $129 million, up $22 million or up 21% versus the prior quarter. Adjusted net income and adjusted EBITDA for the third quarter increased from last quarter, primarily due to a full quarter of Jamaica margin and uplift from our second cargo delivery related to our Atlantic Basin supply, which utilized our new LNG carrier, the Excelerate Shenandoah. In comparison to our guidance range announced in August, we achieved considerable savings in the third quarter related to our Exemplar dry dock, which completed in September with less off-hire days than anticipated, along with lower costs than we had projected. Additionally, our third quarter performance was favorably impacted by lower-than-expected fuel costs for the Shenandoah. Turning to our balance sheet. Our balance sheet remains strong and continues to provide the stability and flexibility needed to execute on our long-term strategy and to navigate dynamic market conditions. For the 3 months ended September 30, our total debt, including finance leases, was $1.3 billion, and we had $463 million of cash and cash equivalents on hand. Additionally, all of the $500 million of capacity under our revolver was available for borrowings. At the end of the third quarter, we had $818 million of net debt and our 12-month trailing net leverage stood at roughly 2x. This strong balance sheet, combined with disciplined capital allocation and robust cash flow, gives us ample liquidity and financial flexibility to fund additional growth projects. Now I'd like to spend a few minutes on our capital allocation priorities. Our priorities have not changed. We remain focused on investing in accretive growth opportunities and delivering consistent shareholder returns through dividends and opportunistic share repurchases while preserving balance sheet strength to enable long-term strategic flexibility. This disciplined approach positions Excelerate to create sustainable long-term value while achieving attractive near-term returns. In line with this framework, on October 30th, our Board of Directors approved a quarterly cash dividend of $0.08 per share or $0.32 per share on an annualized basis. The dividend is payable on December 4th to Class A common stockholders of record as of the close of business on November 19th. Now let's turn to an update on our financial guidance. Based on our results to-date, we are increasing our previously communicated adjusted EBITDA guidance for 2025. For the full year, we now expect adjusted EBITDA to range between $435 million and $450 million. This revised guidance range incorporates the minimal financial impact we expect from Hurricane Melissa. Also, as a reminder, we delivered a seasonal cargo under our Atlantic Basin supply deal in the third quarter. Since the next Atlantic Basin delivery is expected to be in the first quarter of 2026, the fourth quarter of 2025 does not include EBITDA related to the Atlantic Basin. In regard to Hurricane Melissa, as Steven mentioned earlier, thanks to our comprehensive insurance coverage and the swift restoration of operations across our Jamaican assets following the storm, we currently expect only a limited impact on our fourth quarter results. For Excelerate overall, we expect maintenance CapEx to continue to range between $65 million and $75 million. Committed growth CapEx, which is defined as capital allocated and committed to specific infrastructure investments currently in execution, is still expected to range between $95 million and $105 million this year. Before I close, I want to speak briefly to the commercial deals we now have in place that will drive our financial outlook in the coming years. First, I'll start with the Iraq project and the placement of our new build Hull 3407. As Steven said, we are excited to have secured this opportunity. From a return perspective, the project is expected to have an EBITDA build multiple between 4.5x and 5x, which is consistent with the economics we expect for infrastructure projects that are fully integrated with LNG supply. Second, our Petrobangla QatarEnergy LNG supply deal begins in January 2026. This 15-year take-or-pay infrastructure-based contract is back-to-back to mitigate commodity risk and is expected to contribute $15 million of incremental EBITDA in 2026 and 2027 and then step up to $18 million of EBITDA in 2028, and thereafter. Third, our 2026 earnings will benefit from a full year of contribution from the integrated platform in Jamaica. Our assets in Jamaica have continued to exceed our operational expectations and have proven to be a great addition to our portfolio. As we've previously mentioned, we expect to add $80 million to $110 million of incremental EBITDA over the next 5 years, driven by Jamaica and broader Caribbean growth. We'll provide further detail on our 2026 guidance, including guidance around expected 2026 dry docks on our year-end earnings call in February of next year. In closing, Excelerate is well positioned to deliver long-term value for our shareholders. We remain focused on disciplined execution and are committed to investing in growth opportunities that will strengthen our long-term earnings potential while also returning capital to our shareholders. With that, we'll open up the call for Q&A.
Operator: [Operator Instructions] Our first question for today comes from Wade Suki of Capital One.
Wade Suki: Just the first one on Iraq, if I could. Just curious on the split between, let's call it, vessel and supply margin. Would it be safe to assume sort of like a 65-35 split between the 2?
Steven Kobos: Wade, this is Steven. Frankly, I don't think that we are going to be breaking it down at this point. I mean, you should just really look at the integration of it. I think what Dana said, 4.5, 5 turn multiple based upon it. But look, there's some variability there. Minimum take is 250 million scuffs a day weight. I think I said on the call that was 200 million tonnes. Let's call that 2 million tonnes. Let me do the correction there. But it could easily go up to 500 million scuffs part of the year. So implicitly, there's some variability in that component. But at this point, what we want to point to is just that overall build multiple.
Wade Suki: Absolutely. No, I appreciate that. Very attractive. I guess maybe just switching gears a little bit to the conversion. It sounds like we've sort of got a definitive move forward, all clear. Can you kind of remind us -- I know you've done some engineering work. I think you might have mentioned on a previous call having spent, I don't know, $30 million or just off the top of my head. Can you sort of remind us how you see that sort of timeline and capital cost to convert that vessel when it goes in the shipyard? Any way to kind of bracket the timeline around CapEx and I guess, dry dock time would be great.
Steven Kobos: Wade, and as I mentioned, David is down in Jamaica right now. And in fact, I think you all saw our press release on some of our efforts down there. The Shenandoah, which is we're talking about is alongside in Kingston and is going to start offloading humanitarian supplies at noon, and we envision it's going to take about 12 hours to get that all offloaded. So I just want to give a shout out to the conversion candidate because she's doing good things for Jamaica and the people of Jamaica right now. The 30 million that you spoke to, Wade, I believe that was going to the acquisition cost of the Shenandoah that we spoke about before. That was, of course, kind of all in right after she had been dry docked right before delivery. In terms of what we've spoken to before, I think we've had a decent range saying, we're kind of thinking about 200 million all-in on a conversion. That varies between what you're starting with is the host ship. This will be the lower end of that. You can imply from that, that there will be more extensive CapEx than if the host vessel had been a TFDE vessel without geeking out too much on the shipping stuff. So I think we're consistent with that. Ultimately, I don't want to commit to a particular time frame in the yard on it. We're going to give ourselves plenty of time so that we can execute that in a good way. But I can assure you, we've just put away 3407 in a great home and our effort and our focus is on Shenandoah at this point. But wait, I'll ask your next question, which is what do you think -- what else? What else are you thinking about? We haven't given up on new buildings. We've had a team in Korea talking extensively and workshopping what a new generation could look like for different markets we're thinking about. So I don't want to indicate by virtue of the steps we're taking with Shenandoah that, that is an exclusive path forward.
Wade Suki: Understood. And just appreciate your comments and efforts in Jamaica. I hope the rest of the island recovers quickly.
Operator: Our next question comes from Chris Robertson of Deutsche Bank.
Christopher Robertson: Just wondering if you guys could walk through what you're thinking on remaining spend on the new building asset currently under construction? And then how you're thinking about when work will commence at the jetty in Iraq, kind of your estimate around equipment and construction costs there just outside of the remaining new build CapEx?
Steven Kobos: Okay. Chris, this is Steven. I think we're going to divide that question up. I'll let Dana speak first to what's left on delivery on 3407, then I'll let Oliver who was lead for some number of weeks in Baghdad on this project really fired up about it, let him speak to construction. But I'll tell you, we're trying to bring this online as quickly as we can. There is a pressing need for this for the people of Iraq. We need to help solve this load shedding. So the big picture is as soon as possible. But I'll hand it over to Dana.
Dana Armstrong: Yes. on the newbuild, Chris, it's actually pretty simple. We've got $200 million left to pay, and that will be paid at delivery. So the total cost of the shipyard was about $340 million with some of our change orders. So $340 million shipyard costs, roughly about another 10% of ancillary costs for owner-furnished equipment and other items that's going to be over time. And then we -- that's just being paid over time. It's pretty small. But the big payment is $200 million when it's delivered next year.
Oliver Simpson: Yes. And if I think on the Chris, if I take on the sort of Jetty side, on the in-country side in Iraq, as we mentioned, we're looking to get this up and running by summer '26. So really starting from now through next summer, that's how you'll see that CapEx build out. There are certain long lead items that either we've had in stock that we're able to deploy or that we're in the process of procuring. So we'll see that ramp-up on the overall jetty spend between now and next summer.
Christopher Robertson: And just to summarize, the project is expected to cost $450 million, which is inclusive of the $340 million for the Hull 3407, then we should assume around $100 million or so of CapEx related to terminal construction.
Dana Armstrong: Roughly, there's some ancillary costs on the new build. So the new build is roughly $370 million all in. And so the rest of that is the estimate for Iraq.
Oliver Simpson: Yes. And Chris, just one. Sorry, I was going to just add one point of clarity on that. Just obviously, we're using an existing jetty in Khor Al Zubair. So that's why, I mean, generally, the cost of building a full jetty would be higher, but this is using an existing jetty and putting on the topside equipment and getting it ready for LNG operations.
Christopher Robertson: I just wanted to shift focus a bit to your commercial discussions in the Caribbean outside of Jamaica. If you could comment where you're seeing more interest. Are you seeing interest in more small-scale onshore regas and transmission solutions? Are you seeing appetite for floating solutions? Or where are those conversations kind of focused right now?
Oliver Simpson: So I'll take that again, Chris. And I think the answer is a little bit of all of the above. But I'd say I'd point to what just happened in Jamaica in the last week. Obviously, there was this -- Melissa was a Category 5 hurricane that came through, and we took off the FSRU was able to leave the birth, go to a safe place and come back. So I think there's certainly a lot of value in the floating solutions in terms of the critical infrastructure they are and how they can respond to these kind of events. So I would certainly expect conversations going forward to look at this as a big plus. But really, it's -- every island is unique, different availability of land onshore, different water depths. So with our technical team, we're looking at a wide range of solutions and really using Jamaica as a hub, which for us is that that's that critical commercial advantage we have, we can then develop different technical solutions for these different markets. And I'm seeing -- we're seeing good interest across the Caribbean to use LNG to displace liquid fuels. And so I think that's progressing well.
Operator: Our next question comes from [ Brie ] Brooks of Northland Capital Markets.
Robert Brooks: So just with the growth CapEx guide unchanged for this year, is it then right to assume the majority of the spending for the jetty in Iraq is then going to be coming in the first half of '26?
Steven Kobos: Yes, Bobby, I think that's a safe bet.
Robert Brooks: Got it. And then I want to just say my thoughts are with those affected by Hurricane Melissa and Jamaica, and it's great to hear how much you're helping the country get its feet back underneath itself. But -- and at the same time, it's great to hear how quickly your business operations got back up and running and how insulated your financial contributions from your assets are there. So my question is, is it right to think that all of your other assets have similar insurance coverage that would insulate you from natural disasters like this?
Steven Kobos: Bobby, short answer, yes. I want to brag on the ops group, though, a little bit here because you all will remember when we were talking about some of the incremental maintenance CapEx we spent in Jamaica over the summer. And you may recall that involved putting in black start generators. It also included strengthening sea walls. And frankly, we said we're just wanting to take -- do the things that brought these assets up to an Excelerate standard. And thank God, we did because that -- those moves and planning and execution by the Excelerate operations team over the summer made a tremendous difference here. So I'm going to salute them. And just as a reminder that the type of uptime that they achieve around the globe is not an accident. So I'll make that point. I would say, in general, Bobby, most of the insurance programs on the floating assets, it's all quite similar on land-based assets. It's going to depend upon the type of the asset, but there's general commonality across the platform.
Robert Brooks: Got it. That's really helpful color and great to hear that the -- you got to be able to execute those pieces to strengthen the operating base before the hurricane came in. And my last question is just, could you remind us, -- the contracts you have across the globe right now, there's none coming up, none expiring over the next couple of years or when's kind of the next one coming up where you could maybe move an asset to a different location?
Steven Kobos: Bobby, you're always wanting us to optimize man, and we do too. We have 2 on Evergreen that we're always trying to get our hands on, obviously, Express and Expedient and we're continuing to look at ways to do that. That's going to be a catalyst, obviously. We've managed at this point to have higher contracted rates on most everything that we've been able to redeploy, and we would look for that to be the case if we can get our hands on those. But in general, then you've got Excelsior in Germany in 2028. That's a longer discussion. Excelsior since she's come online is sending maximum gas ashore. I'm proud, by the way, that as far as I know, she's taken all U.S. LNG since she came online in May. And that's a great asset that the German government has spent a lot of money importing the ports to work with Excelsior. We've spent a lot of money on Excelsior. We think it's a great asset. We'll be having further discussions about it down the road, but I'm really proud of that ship and everything she's doing. I understand she's kind of fully booked for next year. So bottom line is that asset is used. It's providing good value, and it remains cheap insurance but that's kind of a look at what's sort of near term out there.
Operator: Our next question comes from Michael Scialla of Stephens.
Michael Scialla: I'll start off by echoing everybody else's sentiments on commending you on your relief efforts for Jamaica. I wanted to ask, you've talked in the past about scaling the Jamaica model across the Caribbean. It sounds like now you're saying you want to do that across your global footprint. I don't know if I'm reading too much into that. Has anything changed there to have you make that comment at this point?
Steven Kobos: Mike, this is Steven. I sure hope, I haven't been saying we only want to scale and grow the Caribbean. I mean this is a global company, and we want to do this all over the world.
Michael Scialla: Anything in particular about Jamaica, though, that I guess, that you're seeing that is transferable to other areas of the globe?
Steven Kobos: Yes. I mean, Mike, what I love is if you -- when we look back at 2025, we will have come to the market with 2 fully integrated deals. And we love what that does for us. It is -- I mean, you can see on what we're talking about Iraq and the project there, the build multiple that you're going to achieve, what we've always said, the returns that we're looking for are always going to be higher with integrated models. And look, we're built for this. We have the balance sheet for this. We have the credibility for this. We are not simply a capital leasing company. We're never going to be content to do that. We want to make a difference around the world. We want to be that go-to partner for sovereigns around the world. So yes, we haven't been shy. We want to be an integrated energy company in these markets. Now we wanted to go through our infrastructure, but we want to be the whole package. And you don't see a whole -- I mean, no offense, you don't see a lot of folks doing this around the world. So I think -- and it's going to be -- anyway, I'll leave it at that, but we're fired up. I think you can hear it in my voice.
Michael Scialla: Definitely can. I wanted to ask on your gas sales are hard to predict. You haven't really guided on them in the past. You had a lot in the third quarter. Can you talk more about those? Did most of those go to Jamaica? Any of those cargoes go anywhere else? And any thoughts on future cargoes?
Dana Armstrong: Mike, this is Dana. So yes, that was a great quarter for us from an LNG supply perspective. So we had a couple of things going on there. We had our Atlantic Basin supply that delivered in the third quarter, which had great performance. We also had really good performance in Jamaica and a little bit of volumes above our expectations. And then we had 2 cargoes delivered into the APAC region. So all of that combined to those numbers for the quarter.
Operator: Our next question comes from Emma Schwartz of Jefferies.
Emma Schwartz: Congrats on the Iraq deal and the strong quarterly results. It really looks strong, what you guys agreed to in Iraq, and that's really tied to the integration. Could you speak a little bit about the repeatability of integrated deals like this? And do you see integrated opportunities for the conversion candidate?
Steven Kobos: This is Steven. We absolutely do. I mean that's why I kind of digressed talking about the coming LNG wave. I think the point I'd make to the listeners is we're executing on integration before that wave comes. It is coming. It is going to drive greater affordability on LNG. So I see the TAM that we're serving only increasing, and we continue to prove that we are the sort of company that can execute on it. We're continuing to put the tools in the toolbox that we need to deliver on it. I mean you see with Iraq, everything is coming together, and we've been planning for that for some time to be able to deliver that. So I absolutely believe -- we believe that the TAM is -- it's enormous to begin with. It's increasing. The commodity is going to be ever more affordable. It's going to drive more liquid fuel and other type of switching. And we are after those opportunities around the world, and we're going to continue to do that.
Emma Schwartz: That's great to hear. For my second question, I was wondering if you could speak a little bit more about the dry docking this quarter. What drove the lower cost there? And is that kind of performance sustainable going forward?
Steven Kobos: Emma, I think it would be unfair to David Liner, our COO, if I put him too much on the spot there. They did deliver a great dry docking. They now part of that was in the Baltic. We're taking it from Finland to Denmark. So logistically, it was fairly close. We were looking at different ways to advance some of the -- or perhaps more of the prep work on board before we went. We're looking at all types of lessons learned there. But for now, we're always trying to optimize dry docking, but I don't want to say that the lessons from one geographic location may transfer seamlessly to other dry docks. Well, frankly, I hope that we will not hope. We will have more insight for you on that at year-end. But I think it's a little far out from the execution and planning process to be able to commit to any particular timeline for those dry docks right now.
Operator: At this time, we currently have no further questions. So I'll hand it back to CEO, Steven Kobos, for any further remarks.
Steven Kobos: Thank you all for joining us today. Really enjoyed our call. There are obviously a lot of things going on in Jamaica. And I just want to repeat that our thoughts and prayers and well wishes are with the people of Jamaica. But thank you all for joining us. Exciting times for Excelerate, and we look forward to continuing these discussions in the future.
Operator: Thank you all for joining today's call. You may now disconnect your lines.